Operator: Please stand by we’re about to begin. Good afternoon ladies and gentleman, thank you for holding welcome to the Metabolix Incorporated fourth quarter 2007 earnings conference call. (Operator instructions). I would now like to turn the conference over to Kathleen Heaney of ICR. Please go ahead.
Kathleen Heaney: Thank you and good afternoon everyone, Metabolix released fourth quarter financial results after the market closed today. If you do not have a copy, one may be found on the website at www.metabolix.com in the Investor Relations section. Making the presentation today will be Jay Kouba Chairman and Chief Executive Officer of Metabolix. Before we begin our formal remarks, I need to remind everyone that part of our discussion today may include forward looking statements. These statements are not guarantees of future performance and therefore undo reliance should not be put upon them. The company undertakes no obligation to update any forward looking statements in order to reflect events or circumstances that may arise after the date of this conference call. We refer all of you to our recent filing for the SEC for more detailed discussion of the risks that could impact future operating results and financial conditions. With that I’d like to turn the call over to Jay.
Jay Kouba: Thank you Kathleen, I’d like to welcome all of you to the fourth quarter earnings conference call for Metabolix. I would like to open my remarks by noting that 2007 was a year of great achievement for our company, our first as a public company. We’ve moved closer to the full commercialization of Mirel and we expanded our platforms to address a number of exciting future growth opportunities. We have establish Metabolix as a leader in industrial bio technology. And we are very well positioned to benefit from the transition of our economy from its dependence upon oil to one where sustainable and renewable platforms play a significant role. Before I discuss our fourth quarter results, I would like to take a moment to discuss executive succession. In a few days, on March 17th, Rick Eno will assume the position of President and Chief Executive Officer of Metabolix and will take over the reigns from me. We’re very pleased as Rick is a proven leader with deep knowledge and expertise in each of the three areas where Metabolix is applying its core technology, plastics, chemicals and energy. Trained as a chemical engineer, Rick has more than 25 years of professional experience in the chemicals and energy business and has held operating roles or [led] clients in financial technical, marketing, and commercial execution. He has led organizations through periods of substantial growth and has deftly managed through the challenges and obstacles that arise in that process. Rick has a deep appreciation for the contribution that people make to an organization. He is committed to the future that we’re creating and is eloquent in speaking to that future. Rick will be a tremendous asset to Metabolix. Rick will have a full agenda running the company as soon as he starts but he is eager to get out and build relationships within the investment community. We will hit the road shortly after his start date, meeting with analysts and investors and he will appear in a number of conferences over the remainder of the year. Once Rick is installed, I look forward to resuming my role as chairman of the board. Serving as CEO has been a great experience for me and I believe the depth of knowledge I have gained will help enormously in conducting the work of the board. While being CEO did benefit my future, my frequent flyer mile collection, I must admit I am looking forward to spending more time in my home town, Chicago. On the senior management front, I should also note that our search for a CFO is progressing well. We are looking forward to making announcement on CFO appointment in the near future. Now on to our fourth quarter results. In the fourth quarter we made great progress in consolidating the significant changes in focus we announced last quarter. In Mirel, customer development activity was re oriented in advance around the markets outlined in our last call. We announced the national release of gift cards by Target using Mirel bio plastics. We made progress in the FDA application process for food contact and on the construction of the Clinton Iowa facility. Additionally, we announced initiation of a program to develop an advanced industrial oil sea craft to produce bio plastics. Now let me provide some of the details about these developments. First Mirel, as we discussed, on our conference call last quarter, we have refocused our marketing efforts based upon exhaustive evaluation and testing towards the segments where we believe we have the greatest market potential and strongest competitive advantage. As a reminder, these markets are, packaging including compost able bags, consumer goods, including cosmetics and gift cards, consumer electronics, agriculture and horticulture and marine and water applications. These segments have an addressable market potential of approximately 2 billion pounds per year. And our estimated to be growing at rate of 5% per year. The growth rate alone will fill our initial plant. Our customer pipeline continues to grow and evolve. One of the ways we measure progress for customer purchase commitment is to monitor the identified potential demand for each prospective customer application for the 2010 production year. I want to remind you that this provides us forward looking estimate of potential which is used for internal purposes and is based on discussions with and analysis of our customer prospects. This is not to be construed as an estimate of future sales or guidance on expectations. Our customer prospects are not committed to purchasing this amount nor have we received orders for these amounts. During the last call we reported that our pipeline applications including food contact totaled 172 million pounds. Of that, the portion related to non food applications was about 51 million pounds. Since then with the realignment of our marketing efforts, we have grown the estimates of non food potential demand for 2010 by 24%, to 63 million pounds. We are pleased that this growth occurred despite of a slow down in activity during the holiday season as well as a realignment of our product development efforts to address the needs of these customers. With developments in hand we anticipate gaining momentum in our focus market during the coming quarters and expect the growth of indicated 2010 demand to accelerate. There is a large opportunity set which is emerging and not yet reflected in these numbers. As you know, we have been conservative in talking about our customers and making customer announcements. We have discussed our efforts with target and I’m frequently asked when we might announce other customers. At this point I would like to say that we are cautiously optimistic about making some customer announcements as early as second quarter. Our goal remains to achieve an indicated level of 2010 demand that is a multiple of the 110 millions pounds of capacity of our commercial manufacturing facility. I will speak to the FDA approval process in a moment. But we are confident that the capacity at Clinton can be sold out with non food contact applications. As our focus markets represent 2 billion pounds of market potential, we remain excited by the response we are seeing in the market place and are comfortable with our prospects for a successful product launch and production ramp. Now let me bring you up to date on the FDA application process. We received a lot of questions about the FDA since our last call. I would like to make two things perfectly clear. One we do not need FDA approval to fill out our first plant. Two, there is nothing intrinsic to Mirel that will prevent it from being cleared for food contact use. The question here is one of timing. In order to see our efforts in context, I would like to provide you with more background on what is going on and why this is a manageable issues. During the manufacturing process Mirel plastics are separated from residual bio mass using a solvent extraction process. While the material is thoroughly washed, trace amounts of residual solvent remain in the finished plastic. Food contact issues can arise if those residual materials are present even at parts per billion levels in extract. When we met with the FDA in October at a pre notification we discussed with them our preliminary extraction work. It provided us with valuable feedback concerning sample preparation, extraction protocols and analytical protocols as well as key metrics that they would want to evaluated in the food contact notification dossier. Since that meeting, we have completed additional laboratory work and calculations following the guidance received from the FDA. We have also validated process modification that can impact levels of residual solvent. We are now prepared to conduct sample preparation and extraction studies following FDA protocols beginning in March, with results of the available in second quarter. We intent to organize a follow up meeting with the FDA during the second quarter to discuss our conclusions and present a detailed approach for food contact notification. A favorable review of this will allow us to proceed with preparation of a food content dossier. While this represents clear progress, the timing of food contact notification can not be determined at this time, as it is dependent upon the specific data we get and the recommendations by the FDA. So in summary we remain confident that we will have food contact approval for Mirel and we also remain confident that we can fill Clinton capacity with non food contact applications. Now let me spend a moment discussing the Clinton Facility. The timing of product available at this facility has been projected to be December 2008. Construction continue to move ahead but much of the current construction work at Clinton has been impacted by this year’s harsh Midwest winter. ADM is in the process of reevaluating construction timing. We will provide you with further updates as soon as they are available to us. Before I discuss the financials, I want to touch on one other of our new initiatives, oil sea crafts. A key initiative for us is to expand our product platforms to proprietary technology and intellectual property. In February, we announced our most recent effort, a program to develop an advanced industrial oil seed crop to produce bio plastics. This is now the third crop op system to which Metabolix has applied it’s patented technology. As a reminder the other two are [swithcraft] and [sugar king]. Technology the Metabolix has developed for multi gene expression in plants is broadly applicable. And oil seeds are an attractive target because they offer multiple sources of value in a single crop. Additionally the commercial infrastructure for non food applications of oil in bio diesel and olio chemicals is well developed. Whole production of bio plastics promised to improve the economics of these industry. As part of this initiative we established a strategic research collaboration with noted oil seed expert, at the Donald [Danford] Plant Science Center in St. Louis and will assemble a team of scientists to work closely with them. We’re very excited about this collaboration which is supported financially by a $1.1 million grant from the state of Missouri. This initiative has potential to expedite the commercial fulfillment of our plant sciences effort. As we have discussed in the past, the demand for sources of alternative energy and bio based products is rapidly accelerating and with that so the need for biotech solutions to meet that demand. Metabolix is uniquely positioned at the forefront in the field of industrial biotechnology based on our promising scientific and engineering achievements. I will now discuss the financial results of the quarter. As most of you know Metabolix currently manages its finances with an emphasis on cash flow. For the three months ending December 31st, we experienced net cashed used in operating activities of $3.7 million as compared to a net cash used of $.08 million for the comparable quarter of 2006. we spent $0.8 million for capital expenditure during the quarter primarily for the expansion of our pre commercial manufacturing facility to produce market development material. Our cash burn rate associated with operating activities continues to grow and track in line with plan. We expect our cash utilization will continue to increase quarter over quarter as we expand our pre commercial production, expand our sale marketing infrastructure as well as expand our research and development. Our GAAP loss from operations for the quarter $8.6 million as compared to a loss of $8.4 million for the fourth quarter of 2006. Cash used for operating activities during the fourth quarter of 2007 was $3.7 million as opposed to, as compared to $0.8 million during the same period in 2006. As expected, our fourth quarter loss is greater than the cased used in operating activity. As we have discussed before, all of the payments we received from ADM are recorded as deferred revenue for GAAP purposes and therefore do not appear in our income statement. The deferral of recognizing payments from ADM will continue until first commercial sales from the Clinton plant are reached. We also recognize non cash stock compensation expense on a GAAP basis which also leads to a reported net loss exceeded cash used in operations. Now let me give you some additional detail on the company’s financial results for fourth quarter 2007. for the three months ended December 31st, revenues totaled $0.9 million, which compares to $0.4 million in revenue during the fourth quarter of 2006. during the fourth quarter of 2007, we received $0.5 million in license payments from a new licensing arrangement. As we grow the business our expenses continue to ramp up. Total operating expenses increased from $8.8 million during the fourth quarter last year to $9.5 million this year. This increase reflects new hires across the board in R&D, Sales and marketing and administration’s support for growing the business. In additions we grew our expenditures for product development and for pre commercial manufacturing. These increases were partially offset due to higher non cash stock based compensation recognized during the fourth quarter of 2006. Our balance sheet remains strong on December 31st, 2007 we had cash and short term investments totally $109 million. This capital should be adequate to build our sales and marketing infrastructure conduct pre commercial manufacturing and make necessary commercial formulation investments and to expand our research and development to build the company. In summary we are please with the progress we made during the fourth quarter in re positioning the company’s focus around the market that plays best to our competitive advantages and we look forward to focusing our efforts around those markets going forward. With that we will now open the call to questions. 
Operator: (Operator instructions). We’ll go first to Lawrence Alexander with Jefferies.
Lawrence Alexander - Jefferies & Company: Good afternoon
Jay Kouba: Hi Lawrence how are you?
Lawrence Alexander - Jefferies & Company: Very good, have a question on the ADM relationship during the transition can you just walk us through who will be handling the relationship with ADM?
Jay Kouba: Well most of our operating relationship with ADM is really embedded much deeper in the organization than with me. So we have an operating business team with ADM that meets at least monthly and goes through all of the issues with respect to timing of the facility, technology, transfer product development, customer pipeline. So there are detailed discussions going on with ADM constantly. There will be formal transition of executive relationships with ADM that has not yet been scheduled.
Lawrence Alexander - Jefferies & Company: And as you look at the news flow over the next 6 months in terms of new contract wins, ADM revisiting the timing on the facility and so on, what’ s your strategy in terms of informing the street. Is it going to be, are you going to wait for the conference call to give us an update or is it going to be as each item develops and if you give an update on new customer wins do you think you will be able address pricing directly at that time?
Jay Kouba: So if we sign a contract with a customer, then we consider that and we believe that is a disclosable event and will file disclosure immediately upon signature of those contracts. There may be other announcements which may be about market trials or relationships with customers that may be not contractual in nature and under those circumstances, again it would be governed by the willingness of the customer to disclose that. So in general Lawrence I think our strategy is that our preference is to disclose events as they occur and not wait until the call.
Lawrence Alexander - Jefferies & Company: Lastly on the Clinton facility, can you give a rough range or a probability range on how much it might be delayed or is ADM sensitive on that topic?
Jay Kouba: ADM just initiated their study and so it would really just be speculation on my part. I really have no factual information other than our observation and communication from ADM over the course of the winter that this is actually been a very difficult winter to do exterior construction. And I think you can feel, probably make your own estimate as to what could, what impact that has.
Lawrence Alexander - Jefferies & Company: Fair enough, I’ll drop back in queue. Thank you.
Operator: The next, Brian [Millburn] for Jaffrey.
Jay Kouba: Hi Brian.
Brian [Milburn] - Piper Jaffray : Hello the half a million in royalty was the Abbott payment?
Jay Kouba: Yes it was.
Brian [Milburn] - Piper Jaffray : Okay and that’s going to be occurring every year or can you refresh our memory on the payment schedule for that?
Jay Kouba: That’s a one time payment.
Brian [Milburn] - Piper Jaffray : So one time payment.
Jay Kouba: Yes. 
Brian [Milburn] - Piper Jaffray : Okay I’d also heard a rumor that they’ve actually started building the second footprint to build at the plant, is that true, do you have any comment on that?
Jay Kouba: They ADM?
Brian [Milburn] - Piper Jaffray : Yes.
Jay Kouba: I’m not aware of that. As the site is laid out at Clinton Iowa, at ADM’s corn wet mill facility, and the Mirel polymer plant is takes a feed of glucose from the corn wet mill plant. There is sufficient space and glucose supply at the site to potentially quadruple the production of Mirel at that site and so some of the design and some of the layout of the plant can accommodate an in excess of pre investment in that expansion.
Brian [Milburn] - Piper Jaffray : Okay and one quick question on cash usage. If we look at 2007 it looks like around $4.5 to $4.75 million average per quarter, can you give some comment on continuation in 2008? Any percentage bump in that or obviously it’s going to go up as you move towards commercialization but can you give us any color on that?
Jay Kouba: Yeah our cash has been more a little below $4 million or net cash in operating activities and we’re at $3.7 million for fourth quarter. That number, that number is really dependant upon the wave of recruitment into the company. It’s really personnel costs which are the largest factor in that. And we do plan to make some recruitment efforts to develop our newer platforms and to expand our product development activities in Mirel. And I think that we have, we’re currently at a personnel level of 81. And I think that we’ll be growing that over the next year but not rampantly.
Brian [Milburn] - Piper Jaffray : Okay, very good, thank you.
Operator: The next I Michael Carboy with Signal Hill.
Jay Kouba: Hi Michael.
Michael Carboy - Signal Hill: Good afternoon ladies and gentlemen, a couple of quick questions for you here, let me just go back to the Abbott issue for a moment. I had understood that Metabolix was to also to enjoy a carried interest in whatever product it was Abbott might be producing based on the license technology from Metabolix. Could you elaborate on that please?
Jay Kouba: Yes, but it is a running royalty that is incumbent upon product sales by Abbott. So we are not aware yet of a, have not been notified by Abbott of any commercialization of products based upon that license. And so we would not expect any payments under it so unless there is commercialization.
Michael Carboy - Signal Hill: And can you elaborate as to whether they are an FDA approval on that drug?
Jay Kouba: We do not have information as to what specific applications they will use the license for. 
Michael Carboy - Signal Hill: Okay and Jay in your role as Chairman of the Board maybe you can help us understand the dynamic that the board had to weigh in terms of bringing in a Chief Executive a decade of operating experience versus an individual who had more experience on the consulting and soft side of the world and recognize that Metabolix is more of an IT entity right now than a manufacturing but still it’s sort of a interesting set of choices and pros and cons and I was hoping you might tell us a little bit more about how the board thought about all that.
Jay Kouba: Sure I’d be happy to. So as we look forward as to what Metabolix will actually be over the next 5 years, the [callus] venture will be joint venture and the operations of the Mirel plastic business will be within an operating joint venture with [Intellus]. So it will not be directly operated by Metabolix but rather we will have influence and management of that through a board of directors. And so the, as we look forward as to our other platform, much of what we will be doing over the next few years is really commercial development, in terms of establishing partnerships, in terms of understand of value change, agricultural value change or chemical value changes and positioning ourselves with relationship and alliances that are appropriate to the new business platforms that we’re developing in C4 chemicals or in oil seeds or in [switchcraft]. And beyond that there is a number of portfolio questions really about what is the scope of our developmental activities beyond Mirel. And how do we drive the development of those business options, how do we decide how many are in that portfolio and which ones based upon the commercial and economic value of those, of business options. So we did look at a variety of candidates who ranged from extremely operational to much more conceptual and strategic. And our belief was that is that Rick actually is a very good balance of being able to and having in a lot of time actually making the kinds of decisions that will actually face Metabolix over the next five years in terms of joint venture governance, joint venture influence as well as commercial development activities and understanding value chain. So we think that the kind of deep understanding that Rick has not only about the specific markets that we’re in but experience in the kinds of decisions that we will have to make is going to be extremely valuable to Metabolix going forward.
Michael Carboy - Signal Hill: Okay and.
Jay Kouba: I should add beyond that Michael is that we have a very strong executive team with tremendous operational experience so we didn’t fee that it was absolutely necessary to replicate that in the CEO.
Michael Carboy - Signal Hill: Well you touched on this issue of value chain. You have several different legs that could be developed down agricultural front here for Metabolix, how do you think about the rates of return those three different legs can generate? Whether it’s sugar cane based whether it’s switch craft based or whether it’s oil seed based. What should investors think about the potential economic value of those three legs?
Jay Kouba: I think that the switch craft and sugar care more difficult to evaluate at this point in time because of the exact, the more specific manifestation of those. I should say in the switch craft case in particular the specific manifestation in that business is yet unclear because and bio mass based energy business which is based on switch craft has not yet emerged. And that will be a key economic element of the business involved in switch craft. So as [cellulosic] application of switch craft or direct energy business models of switch craft emerge, then well will be able to map into those. The sugar cane is I guess we can look that in terms of the value add within that. We think that the entry cost into that will actually be fairly high because of the scale of the business in terms of extraction of PHA’s from gas is in sugar cane refinery so we think that the entry cost will be high. We are attracted to the oil seed business because the entry cost will be relatively modest. And that the existing economic systems and structures are already in place. In any of these, our belief is that the returns on those businesses will be of the same order or magnitude as the returns within Mirel. And actually give us also a potential variety of applications beyond [hypometers]. I think instead of looking at the differences between those in terms of potential returns between the three crop alternatives, I would look at it more in terms of a temporal difference where our belief is that the oil seed is something that we can actually accelerate the commercialization of a crop based system and actually help us accelerate once that is in-place actually build a system where can accelerate other two options as well.
Michael Carboy - Signal Hill: And last question here on the mundane front, there’s been a lot of press recently about the run up in agricultural grain prices in particular corn, can you elaborate on the corn syrup cost and how that metric moves around visa vie a corn bushel pricing.
Jay Kouba: Well the arrangement as I’ve said to many of you that our contractual relationship arrangement with ADM is that we are afforded a glucose price which is a neck price at the Clinton facility which basically gives us access to the same byproduct credit that ADM enjoys because they have a corn wet mill. So the net price of seed stock to us is dependent not only upon the price of a bushel of corn but the value of corn gluten meal and other corn oil and other products of the corn wet mill in process. So as those materials move around that does impact our net feed stock cost. We have given estimates in the past that a dollar a bushel of corn changes cost structure of Mirel by $0.10 a pound. And again recognize that we are marketing Mirel as premium material and have an expectation of relatively high gross margin. We don’t expect our pricing to be driven by corn pricing.
Michael Carboy - Signal Hill: Okay, thank you.
Operator: The next Pamela Bassett with Cantor Fitzgerald.
Pamela Bassett - Cantor Fitzgerald: Hi, thanks for taking my call, I wonder if you could give us an update on the progress in the focus market segments. Where are you in with respect to formulation and moving forward, the mechanics of producing products in each of those market segments.
Jay Kouba: I guess I can’t speak to them specifically. There’s, let me just say there there’s we have, we’ve been focusing on client development efforts on application areas where, which are more relevant to which specific to the market segments that we chose. And de-emphasizing product technology that is so focused [photon tacked] applications. An example of that is that the largest application for paper coatings would be in paper cups, hot cups and those so we have de emphasized that product development effort and are focusing much more on film and injection molding in fold. And I should say but the so there has been a realignment of our product development efforts to support the market development efforts that we have underway. We have a lot of interest in particular in injection molding and in film application. And the numbers that I gave don’t really reflect that emergence interest that we have developed and focused on the last four months. I should say that the interest of our potential food contact customers have not diminished at all. And they continue to be interested in Mirel and will I believe reemerge as soon as we have contact, food contact on Mirel product. Is that helpful Pamela?
Pamela Bassett - Cantor Fitzgerald: Yes, it’s always helpful. With respect to FDA extraction studies and toxicity studies, if I heard correctly you’re starting those in March.
Jay Kouba: Right.
Pamela Bassett - Cantor Fitzgerald: And these will all be conducted according to the guidance you received from FDA. And remind me did you say theirs is some standard amount of time that these test will take?
Jay Kouba: There isn’t a standard amount of time that the test will take so there is not a specific set of information that you must give to the FDA and that’s really the purpose of having pre notification meeting with the FDA to make sure that you’re on the same page with the FDA and they’re very helpful about telling you what they will be looking for and what kinds of thing they have concerns about and what kinds of things they don’t have concerns about. So the processes is that we will go, we will do a set of sample preparation extraction experiments and our intention is to set up a meeting with the FDA in second quarter and discuss that with them and if we get a favorable response from them than we will put together that information in a dossier, if we don’t then we will go back and we will do more studies that are consistent with their advice.
Pamela Bassett - Cantor Fitzgerald: So it’s far to characterize this as a interactive process.
Jay Kouba: So we’ll get to the point where we’re going to submit a food contact dossier and the process is, is that when you submit that you are notifying them that you will use the material for food contact application, and they have 120 days to object. Well you don’t want to put yourself into a position to be objected to so once we submit that, we believe, we will do that under the circumstance that we believe that it will be approved and following that it should be 120 days should be in the market of food contact material. So this not a long drawn out process. This is a process of figuratively getting to the kinds of information and understanding what the FDA about what contact, what constitutes a dossier that can be approved. Putting that together and then four month process of their evaluation. 
Pamela Bassett - Cantor Fitzgerald: Great thank you. Two other hopefully quick questions, one can you layout briefly the timeline for oil seed, for the oil seed program and second can you tell us a little bit about what we might expect in terms of parterning activity over the next year or two.
Jay Kouba: I guess we’re not quite ready to disclose the timeframe for the oil seed but I do want to be clear that we are not simply doing laboratory work in this area. We are doing laboratory work in creating new strains of oil seed. We are simultaneously looking at intellectual property issues, looking at regulatory issues around doing field trials planning for scaling our plant productions so that we can do a field trial and establishing relationships within the commercial part of the industry and potentially looking forwards alliances so we are approaching the oil seed in a really comprehensive way so that we can move it forward as a commercial enterprise as quickly as we possibly can. The implications of that is that if it appropriate for the development of that business that we will make alliances and those alliances could be partnerships, they could be bi-cell relationships, they could be co-development relationships but we will establish partnerships in that area to the extent that they help us execute the business proposition that we have in mind. And we’re choosing to work on the oil seeds because we think this is something that we can progress rapidly.
Pamela Bassett - Cantor Fitzgerald: Great thanks very much.
Operator: We’ll go next to Jeff Osborne with Thomas Wiesel.
Analyst for Jeff Osborne - Thomas Wiesel: Hey guys it’s actually Jeff Reynolds, Wiesel, can you hear me. Excellent I just had a couple quick questions, most of them have been answered at this point but on the FDA side, you mention the impurities level in this testing that you’re doing in terms of parts per billion or million I forget which one is it you said
Jay Kouba: Billion.
Analyst for Jeff Osborne - Thomas Wiesel: Billion great, is there any applications that the FDA looks at that would have less stringent requirements versus other applications or are they all the same?
Jay Kouba: They have different applications for wet food versus dry food but frankly we’re, our interest is in actually getting the broad as possible coverage that we can. So we’ll try to peruse as broad of application as we can. The only thing I know about is dry versus wet because there’s different extractability.
Analyst for Jeff Osborne - Thomas Wiesel: Meaning wet is more stringent versus dry.
Jay Kouba: Right. that if you have dry food in contact with a solid material that the potential for extraction of residues into the food is significant.
Analyst for Jeff Osborne - Thomas Wiesel: Very good, and then just my last question was on the ADM side, at what point do you think that this review that they’re doing will be finished and how do you expect to convey that to the market. Would it be in conjunction with an earnings call or via 8K or at a conference?
Jay Kouba: My, so this in an internal process within ADM and we don’t construct in the plant so I really can’t speculate on how long this will take or what the outcome of that is. My belief is that as soon as we have clear information from ADM, that ADM and Metabolix will have consistent and discussion of what the outcome of that is. I’m not exact, I guess my views is that we’ll probably talk about that as soon as the information is clear. 
Analyst for Jeff Osborne - Thomas Wiesel: Got you and just to be sure of everything in terms of the delay that their reviews is weather related. There’s no equipment delays or engineering and construction delays in terms of getting people on site or anything like that.
Jay Kouba: Yeah I mean we see, we have content conversations with ADM, this has been a very difficult winter, I don’t know if you follow the weather in Iowa but it’s been very cold and particular snowy this winter in Iowa so we feel we’re doing some exterior work in terms of field work and concrete work and that’s very difficult to accomplish in [inaudible].
Analyst for Jeff Osborne - Thomas Wiesel: Very good. Thanks much.
Jay Kouba: Sure.
Operator: Well go next Jinming Liu with Ardour Capital
Jinming: Hello. I have a couple questions. The first one is about if there’s potential delays for the [paris] plans should we expect increase in terms of cost, in terms of construction, construction costs?
Liu - Ardour Capital: Hello. I have a couple questions. The first one is about if there’s potential delays for the [paris] plans should we expect increase in terms of cost, in terms of construction, construction costs?
Jay Kouba: We I guess I guess not necessarily. Again the cost building a plant generally the cost of the labor which often half the cost of constructing a plant and then equipment and materials. There should be no impact on equipment and materials and you generally put into these kinds of construction projects contingencies around either rising materials costs or labor and we have appropriate contingencies for this plant so we have no evidence at this point that the cost of the plant is rising. 
Jinming: And the next question about for the usage 2009 for reduction of PHA, should we expect that your company reduction are in line for commercial trials like what they are doing today or is all those productions in 2009 are for sales.
Liu - Ardour Capital: And the next question about for the usage 2009 for reduction of PHA, should we expect that your company reduction are in line for commercial trials like what they are doing today or is all those productions in 2009 are for sales.
Jay Kouba: So when you look at our production capability for today, and you I’m trying to get the numbers that Johan described to me but the production is something like the production that we can make in a month in our development facility will be made in one day at Clinton so we need to move to commercial sales immediately upon the start up of the Clinton facility. So as we move into the 2009 year, then plant when the plant starts up, the plant situation at that point in time is that we will either be production limited in that the rate of ramp of production at the plant will be limiting our sales or we will be sales limited in which case the rate of development of customers will mimic our revenues and either one of those situations can be the case when you bring a new facility with a new product on line.
Jinming: I see, is there any indication of potential [demise] at this moment?
Liu - Ardour Capital: I see, is there any indication of potential [demise] at this moment?
Jay Kouba: We haven’t set any guidance on that.
Jinming: Okay, fair enough. My next question is for the [C4] and I know that there are other similar approach using ethanol produced ethyl. Can you address that those competition potential for the [C4] platform?
Liu - Ardour Capital: Okay, fair enough. My next question is for the [C4] and I know that there are other similar approach using ethanol produced ethyl. Can you address that those competition potential for the [C4] platform?
Jay Kouba: Yes so to the C4 platform is about using fermentation to make C4 chemicals which are a particular set of chemicals which include butane diol, [gamobuterol] lactone and ethyl [peroladone], vinyl [peroladone] and poly vinyl [peroladone]. And this is a set of chemicals where they a broad range of application and they’re used as solvents as [polyol] in polyurethane applications in, as [polyos] in spandex as monomers in engineering polymers, as well as the [peroladone]s are used in a personal care products. So by being able to produce these materials which we believe that we can do economically relative to petrochemical processes. We believe it gives us access into this market of 2.5 million pounds growing at 5% per year.
Jinming: Okay thank you.
Liu - Ardour Capital: Okay thank you.
Jay Kouba: If you can differentiate this from some of the other things that are happening in the industrial biotechnology area one of which is the announcement of making ethylene from ethanol which has been announced by both [Brascan] and Dow, their intention of taking ethanol in Brazil and converting that to ethylene and then operating a standard petrochemical process for producing polyethylene. So I think these are examples of companies looking at essentially the same not the identical space but other spaces within the industrial bio technology and trying to understand how we can develop sustainable and renewable resources for the chemicals and plastics.
Jinming: The bottom line is we’re targeting applications for your C4 as, is that whether the unit price are high polyethylene is, can I assume that?
Liu - Ardour Capital: The bottom line is we’re targeting applications for your C4 as, is that whether the unit price are high polyethylene is, can I assume that?
Jay Kouba: Oh yes, the C4 chemicals and the reason that we actually chose that as a target is indeed that these fairly high value materials in the marketplace today and their price points are established in markets are large and well know and so yes we pick them because indeed they have higher price points than ethylene and poly ethylene.
Jinming: So my last question is can you give me updated number about the numbers of potential customers and or applications?
Liu - Ardour Capital: So my last question is can you give me updated number about the numbers of potential customers and or applications?
Jay Kouba: Actually we didn’t prepare those this time but I would have to evaluate that, we have far more potential customers and applications than we can manage. And so we’re actually being selective about which particular application we bring forward in our process but we are when we ultimately have a customers for our plant, our intention is not to have 100 customers. Our intention is to have a few dozen customers that will be able to fill out the plant with applications in the 1 to 5 millions pound range.
Jinming: Okay, thanks.
Liu - Ardour Capital: Okay, thanks.
Jay Kouba: Thank you.
Operator: Ladies and gentlemen we do have others in the queue at this time so we are going to ask that you please limit yourself to one question and one follow-up so we can get through the remaining individuals before time is up. At this time, we’ll go next to Lawrence Alexander with Jefferies
Lawrence Alexander - Jefferies & Company: Jay, two quick questions, first can you just give an update on the board philosophy about the comfort zones on the cash burn and cash balance given the number of platforms that you will be juggling over the next couple of years?
Jay Kouba: I guess we’ll all very comfortable with our rate of cash burn and recognize as we go forward, some of our cash burn right now is directly related to Intellus and Mirel. And some of it is in the development of new platforms. Once we go into the commercial phase for [tellus], then the cost associated with the [tellus] the cost directly associated with tellus on product development marketing and sales, all of those costs will be covered by the joint venture, by the cash flow of the joint venture. And today some of those costs are, those costs in our organization are in excess of the support payments that ADM is providing for us. So there’s a piece of our cash flow that will decline once we move into the commercialization phase, into the commercial phase for Mirel. So our current cash burn is less than $4 million a quarter and we have $109 million in the bank. Our believe within the board is that we should maintain a prudent cash flow position and that we should expand our resources within the company consistent with rapid development of our technologies but not in at a imprudent rate. I think that we look forward, as you know that we have registered a shelf for new equity and our view is that would like to have very clear disposition of funds before we would make a significant issuance of new securities. And I think that we believe that if that emerges with the development of our C4 program or any of our crop programs, that we will have funds to pursue those however we chose to do it.
Lawrence Alexander - Jefferies & Company: And the second one very quickly on the late, Metabolix has several layers of IT protection about those processes, the handling as well as the underlying technology, do any of those layers represent an obstacle for either Meridian or [Tingin bioscience], you’re DSM’s new partner in the PHA market, I mean are they going to run into an obstacle once they get towards the processing of the plastic?
Jay Kouba: Well I’m not qualified to speak as an intellectual property lawyer so we believe, so let me just make a broad statement here, we believe we have very broad coverage in PHA, in genetic modification to make PHA, in the recovery of PHA plastics in certain PHA co polymer composition in product formulation compositions and in processing the Mirel plastics. We believe we have very strong intellectual properties in this area and we will aggressively defend our IT. 
Lawrence Alexander - Jefferies & Company: Thank you. 
Operator: Well hear next from Brian [Milburn] Piper Jaffray.
Brian [Milburn] - Piper Jaffray : Thank you, one real quick question, I’ve been looking at plastic prices and it looks like the last three or four years it’s been about a 6% increase each year, are we still looking at a $2 per pound guidance price for your plastic when it does come out in 2009 or have you thought about changing that number.
Jay Kouba: We’re still talking to people about $2 to $2.50 and we’ll negotiate specific prices as we negotiate contracts. But again you know we’re not really necessarily positioning our pricing relative to specific existing Petra chemical polymer grades. We’re pricing it to the value that it creates for our customers. 
Brian [Milburn] - Piper Jaffray : And then per as a somewhat touchy issue but can you tell me where your cash is?
Jay Kouba: Yeah, I think we announced that. We had $109 million.
Brian [Milburn] - Piper Jaffray : I know what the number is, physically where is it?
Jay Kouba: Where is it, so we, thank for asking that question because I actually prepared for it. We actually have moved our cash from investments in financial institutions to investments in the corporate bonds and into treasuries. We want to make sure that we’re not exposed to any of the of the challenges in the financial area and so we have purposefully made some choices to be more conservative in our investment strategy.
Brian [Milburn] - Piper Jaffray : Very good, thank you.
Operator: And for our final question, we’ll go to Michael Carboy with Signal Hill
Michael Carboy - Signal Hill: Thanks for the follow up. Jay you had mentioned the notions of growth beyond the 24% you sited earlier. To the extent that the various product modalities you’ve discussed so far are in the growth numbers what different modalities do you expect to drive growth beyond the 24% number?
Jay Kouba: I think we just see and expansion of, I should say number of application so that the $62 million that I quoted is the enumeration of a very specific set of applications that are within the market segments that we defined and within those same market segments there are many more applications that are emerging and so what we will see is in a given market segments that we will essentially have greater penetration. Is that the question Michael?
Michael Carboy - Signal Hill: Yes it is, thank you.
Operator:  We have no further questions at this time I would like to turn it to the speakers for any additional or closing remarks.
Jay Kouba: Well thank you very much for joining us today. In summary, I’d like to say that Metabolix continues to set and meet our milestones. We will keep you updated on the progress on all of these fronts and look forward to speaking to you again at the end of the next quarter. Thank you very much.